Operator: Good day. And welcome to the Akamai Technologies Third Quarter 2024 Earnings Conference Call [Operator Instructions]. Please note that today's event is being recorded. I would now like to turn the conference over to Mr. Mark Stoutenberg, Head of Investor Relations. Please go ahead, sir.
Mark Stoutenberg: Good afternoon, everyone. And thank you for joining Akamai's third quarter 2024 earnings call. Speaking today will be Tom Leighton, Akamai's Chief Executive Officer; and Ed McGowan, Akamai's Chief Financial Officer. Please note that today's comments include forward-looking statements, including statements regarding revenue and earnings guidance. These forward-looking statements are subject to certain risks and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. The factors include any impact from macroeconomic trends, the integration of any acquisitions and any impact from geopolitical developments. Additional information concerning these factors is contained in Akamai's filings with the SEC, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. These forward-looking statements included on this call represent the company's view on November 7, 2024. Akamai disclaims any obligation to update these statements to reflect new information or future events, except as required by law. As a reminder, we will be referring to certain non-GAAP financial metrics during today's call. A detailed reconciliation of GAAP and non-GAAP metrics can be found under the Financial portion of the Investor Relations section of akamai.com. I'll now hand the call off to our CEO, Dr. Tom Leighton.
Tom Leighton: Thanks, Mark. I'm pleased to report that Akamai delivered a solid third quarter in which we achieved two significant milestones. For the first time, Akamai's total annual revenue run rate exceeded $4 billion and our security annual revenue run rate exceeded $2 billion. Our compute results were also very strong, growing 28% year-over-year in constant currency. Non-GAAP operating margin was 29% and non-GAAP earnings per share was $1.59 in line with our guidance. On last quarter's earnings call, we reviewed how Akamai is undergoing a fundamental transformation from a content delivery pioneer into the cybersecurity and cloud computing company that powers and protects business online. Security now delivers the majority of Akamai revenue and compute and security combined account for more than two thirds of our revenue. Since entering the security market a little more than a decade ago with web app firewall as a cloud service, we greatly expanded our security product set into an impressive portfolio, covering infrastructure, application and enterprise network security. We now offer market leading solutions to help protect against DDoS and DNS attacks, application and API attacks, account abuse and fraud and ransomware and data exfiltration attacks. We're already leveraging generative AI to enhance the security and ease of use of our Guardicore and WAF solutions. And we set ourselves apart from the competition with our extensive threat visibility and intelligence and our expert managed services that customers rely upon to protect their businesses. Customer interest in our security solutions remained strong in Q3 and we signed many significant contracts, including a $70 million agreement with one of the world's largest financial institutions, which included our Guardicore segmentation solution, API Security and Prolexic DDoS protection; a $6 million upgrade at one of the world's leading chemical producers that included Guardicore to increase visibility and better protect against ransomware; a $3 million expansion with one of the world's leading auto manufacturers that included Guardicore to protect their critical high performance computing clusters; a $5 million upgrade from another of the world's largest financial institutions to protect their apps and APIs from malicious activity; and a competitive takeaway for our new API security solution at one of the world's largest multinational technology companies. As a result of the strong early momentum, our new API security solution is on track to achieve an annualized revenue run rate of more than $50 million by the end of the year. And our Zero Trust segment, led by Guardicore, is on track to achieve an annualized revenue run rate of more than $180 million by year end. We're also seeing strong interest in our Prolexic service as a result of the large DDoS attacks that have been raging across Asia. Our State of the Internet report in September warned of how geopolitical tensions are increasing the risks of attacks. And we recently thwarted two of the largest DDoS attacks ever seen, one against a leading financial institution in the Middle East and the other against a popular generative AI service. In both cases, our customers didn't see any impact, thanks to our protection. The GenAI customer, a well known hyperscaler, told us that the enterprise grade protection we provide to their business is a true differentiator and it's why they partner with Akamai over competing vendors who have struggled when confronted with large attacks. As another example, a major financial institution in Australia called on us last month for emergency assistance when the competitor they were using for security failed in the face of an attack, resulting in a significant disruption to their business and painful news headlines. We also signed up one of the leading financial institutions in India as they sought to defend themselves from the increasing scale of DDoS attacks. I think it's worth noting that enterprise grade security is not just about scale and reach, which Akamai has plenty of. It's also about having the right people and expertise to partner with and support the most demanding enterprise accounts. And it's about having five nines of platform reliability. These are critical areas where Akamai excels. And there are key reasons why customers trust Akamai to keep them operating normally during even the most challenging circumstances. We've also continued to advance our security capabilities through innovation. For example, last month, we announced the availability of our new behavioral DDoS engine for Akamai's app and API protector solution. It leverages machine learning and intelligence from our global platform to analyze data from multiple sources to provide automated protection against application layer attacks. Turning now to compute. The strong momentum that we achieved in the first half of the year accelerated in Q3 with compute revenue growing to $167 million, up 28% year-over-year. We continued to add new compute customers at a strong pace and we remain on track for our new enterprise compute solutions to exit the year with an annualized revenue run rate of more than $100 million. In Q3, we saw enterprise compute wins in the US at one of the largest retailers, one of the world's largest SaaS platforms, a large e-gaming platform, a large sports gaming platform, a nationwide passenger railroad and a global weather forecaster. In Europe, we saw a large compute win with a major German travel platform. And a major telco doubled their prior commit for our enterprise compute solutions. In Latin America, one of the largest private banks in Brazil expanded their reliance on Akamai to adopt an ISV observability solution that provides insights into data to help improve user experience. And in APJ, we signed up an international domain management platform that enables domain owners to optimize and manage their domains using our compute solutions. Across the world, we're seeing strong interest in our differentiated cloud computing platform for cloud native apps, observability, better performance and lower cost. Retailers in particular have told us that they've achieved better performance and conversion rates for their mobile apps running on Akamai Connected Cloud, with one reporting $160,000 in additional revenue per day. We're also seeing more opportunities for our platform to support the use of AI for tasks such as image generation and processing, speech recognition, consumer analytics and prediction and generation of short videos for advertising. In September, we introduced new video workflow capabilities from our ISV partners that integrate our compute and delivery platforms to give media customers unprecedented flexibility to tailor media experiences to meet their user demands. And over the past year, we've greatly expanded our object storage capabilities to help customers get reliable, scalable and low latency workload performance at a fraction of the cost charged by hyperscalers. Customers have responded. For example, French premium television channel Canal+ expanded their use of our services last quarter, adding Akamai cloud computing and migrating their video assets to Akamai's object store. This enabled them to significantly reduce their costs while improving performance and reliability. And just this month, Akamai entered into a multiyear strategic partnership with a large video workflow ISV that includes a $17 million commitment for Akamai's enterprise compute services. In an evaluation of public cloud platforms released last quarter, Forrester named Akamai a strong performer and noted that Akamai offers, a market leading edge platform that provides businesses with a distributed platform to build, run and secure applications. The vision to lead as an [IAS] alternative by offering compute at the edge of networks for low latency workloads and strengths in edge development with a significant global fabric of edge locations and robust computing platform that developers can utilize to deploy applications closer to users. In summary, we're pleased with the momentum that we've achieved in compute this year and we're very excited about the enormous opportunity ahead. Now turning to delivery. As we've noted on recent calls, our delivery solutions have been weathering macroeconomic headwinds that have been felt industry wide. In the 25 years that we've been in the delivery business, we've seen numerous swings in traffic levels, such as when traffic slowed as the largest Internet companies adopted DIY a decade ago and as when traffic boomed at the start of the pandemic. Most recently, we've seen traffic growth slow as the streaming and gaming verticals have faced their own headwinds. Looking forward, we expect that traffic growth will eventually rebound just as it has in the past. Catalysts for potential future traffic growth include the analysis by Nielsen that 59% of video consumption has yet to move online, along with a lot of advertising, which will presumably follow the audience. More advanced video games and the growth of online sports, which is still in the early innings, are also catalysts to watch. When traffic growth picks up, we believe that Akamai is in a much stronger position than competitors to capture it. Given our scale and cost structure, we can add traffic very profitably, while it appears that many of our competitors are struggling to even stay in business. In the meantime, and as I've said before, our plan for delivery is threefold. First, we'll remain disciplined when it comes to the profitability of traffic that we choose to serve. Second, we'll continue to leverage our market leadership position and installed base of major enterprises to generate cross selling opportunities. And third, we'll continue to take steps to retain our market leadership while also reinvesting most of the cash flow from our delivery product line into the fast growing areas of the business. It's important to note that Akamai realizes strong synergies and competitive advantages by offering customers delivery in addition to security and compute. These synergies and advantages include improved performance and seamless integration, bundling for cross selling and strong customer retention, increased margins for all of our services, unmatched visibility from seeing enormous volumes of traffic and the capacity to quickly detect and stop massive cyber attacks at the edge. As you can see from our results, Akamai has come a long way in our evolution from the leading content delivery company into the cybersecurity and cloud computing company that powers and protects business online. We're very pleased to see our security business exceed $2 billion in annual revenue run rate and we're very excited about the enormous potential for future growth in cloud computing. But we still have more work to do to fully realize the potential of the fast growing areas of our business. As our next step, we plan to shift more investment into the development of our cloud computing capabilities and new security products, as well as into the go-to-market resources and partner ecosystem to sell these services to a broader portion of the enterprise marketplace. With the success of our new solutions in API security, enterprise security and cloud computing, we're now selling to enterprises who were not in the sweet spot for our delivery or cloud WAF services. And so we plan to add go-to-market positions for hunting as well as experienced specialists to support sales of the new products. Our new offerings are also much more partner friendly than our traditional delivery and cloud WAF solutions. And so we're also continuing to strengthen our partner ecosystem. In order to help fund these investments in the fast growing areas of the business, we've made the difficult decision to eliminate about 2.5% of the current roles across the company. This was a painful decision because it impacts our people whose innovation and drive have been an important part of our success. We believe that redeploying these resources will enable us to grow while still maintaining our near term operating margin target of about 30% and then be in a better position to climb above 30% as the fast growing areas of our business expand our profitability. Now I'll turn the call over to Ed, who will review the Q3 results in more detail and provide our outlook on Q4. Ed?
Ed McGowan: Thank you, Tom. Today, I plan to review our Q3 results, provide some financial color on our restructuring charge and then discuss our expectations for Q4. I'll start with our third quarter results. Total revenue for the third quarter was $1.005 billion, up 4% year-over-year as reported and in constant currency, marking our first $1 billion quarter. Compute revenue was $167 million, up 28% year-over-year as reported and in constant currency. These results included a $7 million onetime benefit related to the release of some deferred revenue in conjunction with the expiration of a long term legacy compute contract. As Tom mentioned, we continue to see very positive market momentum with our enterprise compute solutions and remain on track to exit the year with an annualized revenue run rate of more than $100 million. Moving to security revenue. In the third quarter, security revenue was $519 million, a 14% year-over-year increase as reported and in constant currency. During Q3, we had $3 million of 1 time license revenue compared to $6 million in Q3 of last year. During Q3, revenue from Noname was approximately $8 million in line with our expectations. It's worth noting that similar to Guardicore, our partner and channel ecosystem is the driving force behind the majority of new customer wins for our new API security solutions. Combined, compute and security revenue grew 17% year-over-year as reported and in constant currency, representing 68% of total revenue. Delivery revenue was $319 million, a 16% year-over-year decline, both as reported and in constant currency. Sequentially, delivery revenue decreased 3%, which is an improvement compared to the 6% and 10% sequential declines in the previous two quarters. As Tom mentioned, delivery has been impacted by recent macroeconomic headwinds that have been felt industry wide. As a result, we have seen a significant slowdown in year-over-year traffic growth, most notably in video streaming and gaming. While it's difficult to predict exactly when the industry will recover and growth will resume, we believe our business will be uniquely positioned to capitalize on the recovery. Our scale and cost structure enables us to attract and retain customers very profitably and our delivery business continues to generate very desirable cash flows. International revenue was $480 million, up 3% year-over-year as reported and in constant currency, representing 48% of total revenue in Q3. Foreign exchange fluctuations had a positive impact on revenue of $5 million on a sequential basis and a negative $3 million impact on a year-over-year basis. Non-GAAP net income was $244 million or $1.59 of earnings per diluted share, down 2% year-over-year and down 1% in constant currency. As a reminder, included in our Q3 results is a full quarter's worth of Noname's revenue and expense. And finally, our non-GAAP operating margin in Q3 was 29%. Moving now to cash and our use of capital. As of September 30th, our cash, cash equivalents and marketable securities totaled approximately $2 billion. During the third quarter, we spent approximately $166 million, repurchasing approximately 1.7 million shares. We now have an aggregate of roughly $2.1 billion remaining in our share buyback authorizations. As it relates to the use of capital, our intentions remain the same: to continue buying back shares over time, to offset dilution from employee equity programs, and to be opportunistic in both M&A and share repurchases. Before I provide our Q4 guidance, I want to touch on some housekeeping items. First, as part of our new go-to-market approach and subsequent workforce realignment that Tom mentioned, we took an $82 million restructuring charge in Q3. This charge was primarily driven by our workforce reduction and related severance costs, along with the write down of intangible assets related to the Neosec acquisition. We estimate the workforce action will result in approximately $45 million of annualized savings going forward. We expect to reinvest most of those savings as part of the plan Tom discussed to refocus our go-to-market efforts around our fast growing compute and security offerings. Second, in previous years, seasonal factors significantly influenced our Q4 financial performance. This year, we are seeing weaker than normal traffic trends persisting into October. As a result, we do not anticipate an improvement in traffic growth for the remainder of 2024. Finally, Q4 operating expenses tend to be higher than Q3 due to increased sales commissions for reps who exceed their annual sales quotas. And this year, our annual employee merit cycle went into effect on October 1st. So with those factors in mind, I'll move to our Q4 guidance. We are projecting revenue in the range of $995 million to $1.020 billion, which is flat to up 3% as reported and in constant currency over Q4 of 2023. At current spot rates, including the significant volatility from yesterday, foreign exchange fluctuations are expected to have a negative $7 million impact on Q4 revenue compared to Q3 levels and a negative $5 million impact on a year-over-year basis. At these revenue levels, we expect cash gross margins of approximately 72% to 73%. Q4 non-GAAP operating expenses are projected to be $321 million to $327 million. We expect Q4 EBITDA margin of approximately 40% to 41%. We expect non-GAAP depreciation expense to be between $131 million to $133 million. And we expect non-GAAP operating margin of approximately 27% to 28% for Q4. Moving on to CapEx. We expect to spend $184 million to $192 million. This represents approximately 18% to 19% of our projected total revenue. The sequential increase in CapEx is primarily due to timing, as several projects were delayed from Q3 to Q4. Based on our expectations for revenue and costs, we expect Q4 non-GAAP EPS in the range of $1.49 to $1.56. This EPS guidance assumes taxes of $54 million to $57 million based on an estimated quarterly non-GAAP tax rate of approximately 19%. It also reflects a fully diluted share count of approximately 153 million shares. Looking ahead to the full year. We now expect revenue of $3.966 billion to $3.991 billion, which is up 4% to 5% year-over-year as reported and up 5% in constant currency. At current spot rates, our guidance assumes foreign exchange will have a negative $22 million impact on revenue in 2024 on a year-over-year basis. We expect security growth of approximately 15% to 17% in constant currency in 2024. Given the continued adoption of our enterprise compute solution, we are now increasing our overall expected compute revenue growth to the higher end of our prior guidance or approximately 25% in constant currency for the full year 2024. Moving to profitability. We are estimating non-GAAP operating margin of approximately 29% and non-GAAP earnings per diluted share of $6.31 to $6.38. Our non-GAAP earnings guidance is based on a non-GAAP effective tax rate of approximately 19% and a fully diluted share count of approximately 154 million shares. Finally, our full year CapEx is expected to be approximately 17% of total revenue. In conclusion, we are very pleased with our continued progress with our enterprise compute solutions and excited about the early returns for our recently introduced API solutions. Thank you. Tom and I are now happy to take your questions. Operator?
Operator: [Operator Instructions] And today's first question comes from Rishi Jaluria with RBC.
Rishi Jaluria: Maybe, Tom, in your prepared remarks, you talked a little bit about some of the traction that you're having on the AI side, including with AI companies. Can you help us understand philosophically, how you're thinking about the role that GenAI could play in security on both sides of the equation, both from what happens? How you can leverage GenAI to make security offerings better but maybe more significantly, what does that do to attack surfaces and attack vectors, especially if GenAI is going to get in the hands of nefarious actors? And then I've got a quick follow-up.
Tom Leighton: GenAI is already in the hands and being widely used by nefarious actors, and that's one reason why we're seeing a lot more attacks and penetrations. Probably, you've all seen the deepfakes very compelling but it's also used to generate the malware and train it to get around defenses. So it is increasing the need for defenses, defenses and depth. I think it's a big reason why you really need segmentation now and the Guardicore solution is doing so well. On our side of the house, we've been using AI and ML really forever in our security products. We use it for anomaly detection, bot detection. If it's a human logging into an account, making sure it's the right human and not somebody who stole credentials. We also use it to -- across the company really to be more efficient in the various operations we do. We're using it in -- already in two of our products, security products with GenAI as an interface. So it helps our customers manage their deployments of our security solution, gives them greater visibility. You can interface with your infrastructure and human language. Using our capabilities, you can ask what's that device there? Are the firewall rules up to date? You can ask questions like what do I need to do to bring my firewall rules within the last couple iterations so they're not too far out of date. And it answers and tells you. It's really very compelling and very interesting capabilities. So a lot of use of GenAI, I would say, at Akamai. Still early days. But unfortunately, the bad guys are using it too, very effectively.
Rishi Jaluria: And then just quickly, Tom, you alluded to this in your prepared remarks, but obviously, seeing some higher profile shakeouts, including a long awaited bankruptcy of one of your long time competitors. Maybe help us understand both near term, long term, how we should be thinking about the impact on your business from consolidation? Maybe is there an opportunity for you to gain share of wallet, especially as the kind of stable player and leader in the space? And then longer term, with one less player that had been maybe aggressive on pricing, how do you think this shakes out in the overall pricing environment, specifically on the delivery side?
Tom Leighton: Yes, I think consolidation in the delivery market is long overdue. And you've seen a lot of companies operating at losses in part funded by private equity or Wall Street. And it just didn't make sense. These companies were never going to make money. You still see some of it out there today with companies that are just really struggling, offering pricing which for them, loses money. And so I do think it makes sense to have some consolidation. And you're right, we've seen -- there was Instart Logic, StackPath, Lumen all gone. Edgio, which is the combination of EdgeCast and Limelight and Chapter 11, we'll see how that works out. But I do think this shake out makes sense. And I do think long run, it helps lead to a stabilization of the delivery market. As we talked about, we are very careful with our pricing. And we do turn away business that we don't think makes sense for us. And sometimes, other companies will step in and take that, they'll lose money in the hopes of showing some revenue growth. But I think it's not sustainable for them to do that. And I think the shakeout may be the beginning of something very positive and will help the delivery business over the medium to longer term.
Operator: And the next question comes from James Fish with Piper Sandler.
James Fish: You made a comment about shifting investments here on the go-to-market to investing behind hunters as well as sales specialists as well as the channel. Can you just talk about what caused you to make the shift now rather than at year end? How to think about the mix of that investment between the direct and specialists against kind of the indirect approach with the channel?
Tom Leighton: I think we are really seeing good traction now. We already had traction, I would say, in Guardicore. But now with API security, we talked about achieving an ARR of $50 million at year end versus near zero last year. So we really, I think, proved that out and we're very excited about the future. And with compute, last year, we really weren't even selling enterprise compute. The platform just wasn't at that level. And this year, as we talked about, we are now beginning to sell it and seeing great traction to the point where we think that will be a $100 million ARR by the end of the year. So we've now, I think, proved it certainly to ourselves that this is worthy of more investment. Now at the same time, the new product areas are attracted to a much broader market of enterprises than our traditional leading products, which would be delivery and cloud WAF. And so there's a lot of enterprises and verticals that do use cloud computing, do need API security, do need enterprise security that works in the sweet spot for our traditional services. And so that says we do need to invest more in hunting now. We got to go after those accounts. And in addition, I think it's very helpful for us to have specialists, people that are really familiar with selling cloud computing and that will help our traction as we accelerate the growth there. So that's why we're doing it now and we didn't do it last year and why we're growing the resources there. And of course, these new products are also very channel friendly in ways that our traditional services weren't. Delivery in cloud WAF weren't just -- we had channel partners, but they weren't as friendly and as attractive. The new products, very attractive to the channel, and there's a real role for our channel partners to play. And of course with cloud computing, we've got a lot of ISVs now getting on the platform. So that's why we're making this investment now.
James Fish: And maybe Ed, for you, as we think about the advanced security package changes that you guys made almost two years ago now. How penetrated is that across the security installed base, how much more room do we have to go with cross or upselling that unit? Trying to understand the year-to-date impact on security growth and anything as it pertains to the delivery impact as we think about those bundles.
Ed McGowan: So we talked last quarter a lot about this as we had anniversaried the introduction of the package and had a pretty high penetration, obviously, especially with the -- early on with the early adopters of it. We're sort of the end of that at this point. So the way to think about it is you've got year-over-year compares that have us selling in both quarters.
Operator: And our next question comes from Frank Louthan with Raymond James.
Frank Louthan: Since you acquired the Lumen CDN last year, you're a little over a year ago, did you get any network elements with that? And is there any aspect of their new networks that they're building to support their AI partners that they're having conversations with you about, about implementing your capabilities and layering them on top of that network to help maybe deliver some of that AI traffic?
Ed McGowan: So with the Lumen acquisition, there was no acquisition of any assets aside from the customer contracts. So there was no network acquisitions. And as far as any partnership discussions we have with Lumen, we're not prepared to talk about anything but there's nothing specific to what you mentioned there.
Operator: The next question comes from Fatima Boolani with Citigroup.
Unidentified Analyst: This is Mark on for Fatima. Maybe just -- great to hear the momentum that you guys are seeing on compute, but maybe just on profitability. Why aren't we seeing maybe greater evidence of operating leverage given the compute outperformance, especially since the segment commands better relative gross profit characteristics to delivery, which is declining?
Ed McGowan: So we're still in the scaling up factor within the compute business, so we haven't reached scale yet. And you're right to think that once we get to a much larger scale, we should start to see better flow through. You'll see, hopefully, gross margins expand a little bit and operating margin expand. But we're still in the investment phase of the business and haven't reached scale yet.
Unidentified Analyst: And maybe just a quick follow-on. How should we think about CapEx trajectory going through '25 from sort of the '24 70% level going forward?
Ed McGowan: So we're not going to provide guidance on this call for next year. But as we talked about -- last year was a pretty heavy investment year for CapEx related to building out some of the major data centers for compute. We don't anticipate anything like that going forward. But what I've said in the past is if we do see unusually large deals that come with more revenue, there may be some additional builds. But as we've talked about this CapEx level somewhere in this range is generally where we'd like to keep the business for now. Obviously, as compute gets bigger, that may change over time. But certainly, over the next couple of years, that's about the range we'd like to stay in.
Operator: And our next question is from Rudy Kessinger with D.A. Davidson.
Rudy Kessinger: Ed, I want to ask on delivery. It's basically implied in Q4 that delivery revenue is down 20%, 21% year-over-year by my math. I guess, it seems kind of hard to wrap my head around that if traffic is still growing. I know you're saying traffic growth is not as strong as you've seen in the past. But if traffic growth is still growing, just help us try to understand how delivery could be down over 20% year-over-year unless you're seeing much higher pricing pressure than you've seen in the past? And then as we think about going forward, maybe '25 is it fair to assume that delivery is at least a double digit decline going forward?
Ed McGowan: So a couple of things to think about here. So if you remember, last Q4 we had the Lumen and StackPath acquisitions. And during that time, when it entered into the transition services agreement, we had all of the contracts even though we had anticipated some of those would go away. So it's a really difficult compare, Q4. And in terms of traffic growth, it is growing very slowly. So at rates that we haven't seen in the 25 plus years we've been in this business, so it's growing very, very slow. Pricing is getting a little bit better. But even if you have 5%, 10% price declines and your traffic is growing in low single digits, you're not going to see growth, you're going to see contraction. So it's just been a weak traffic environment. Pricing, as I said, is getting a little bit better. But it takes a lot longer for that to work its way through the system and we get a tough compare. So those are the factors.
Rudy Kessinger: And then on compute, maybe it's a around in you CapEx. It looks like maybe at the midpoint, if you use the percent you're giving for the full year, up about $40 million for this year. Correct me if my math is wrong there. But if it is accurate, it seems like a little bit of a step up with not much of a raise in the compute guide for this year if I back out the $7 million in onetime that you had for Q3?
Ed McGowan: Yes, it's about that, maybe just a little bit less shade less than that. But it's a combination of a bunch of things. It's not all compute. There's some compute in there. There's some related to delivery in terms of some of the places where we have outsized demand. So unfortunately, delivery demand isn't all in one place. It's not just one number, you have to build out in certain geos as you get demand in certain places. And there's also infrastructure services, infrastructure that we use to run the platform. And there's always some timing between quarters so a little bit slipped out of Q3 and a little bit came in from Q1. So I wouldn't read too much into it.
Operator: And the next question is from Matt Dezort with Needham.
Matt Dezort: I guess within compute, could you touch on some of the early use cases and verticals and how those are performing? Any cohort metrics you can offer, especially behind some of the observability in security and media customers you guys have talked about? And any other newer tips that you guys are seeing as driving more workloads to Connected Cloud?
Tom Leighton: Yes, I would say the sweet spot early on by design in terms of revenue is media workflow but we are seeing compute sales across really all verticals and including new customers. And just to give you an idea of the range of our ISV partners who -- customers will buy solutions from them or from us on our platform. There's a couple of database partners, observability widely being sold, live encoding, transcoding, video packaging, WebRTC for interactive video, digital asset management, optimization of video, game orchestration, fleet management, DRM, Kubernetes, connectivity and auto scaling, server side ad insertion, AI inferencing and API performance and testing. And that's just the list of different ISV partners. So we really are seeing a lot of use cases across multiple verticals with a sweet spot in media workflow. And at this point, we really have a very good ecosystem media workflow partners, which is starting, as we talked about in the prepared remarks, really being well received in terms of our media customer base. They're looking for better performance, distributed compute at a lower price point and we're really in a good position to provide that today.
Matt Dezort: And as a quick follow-up. Can I ask about some of the security pieces excluding Guardicore and Noname? How did some of the larger pieces perform in 3Q across WAF? It sounds like DDoS was really strong, you touched on a number of wins there. Did that drive any incremental upside in the quarter? And how do you think about that triumvirate going forward?
Ed McGowan: So we saw pretty good strength across all different products, including -- you talked about Guardicore but even within the Zero Trust space, with our Enterprise Access product, we saw some pretty good growth there. We saw continued strong growth in WAF. We saw some acceleration in DDoS. You don't really get a big burst of revenue right away when you have attacks in a quarter. Typically, you sign up new customers and that revenue comes out over time. But it was pretty strong demand, pretty similar to what we saw in Q2 across the board.
Operator: And the next question comes from Mark Murphy with JP Morgan.
Unidentified Analyst: This is [Erdi Wu] on for Mark Murphy. I wanted to ask a question on compute as well. It's really good to see that momentum. I think you guys specifically called out adding customers at a strong rate and now kind of getting customers outside that sweet spot, which is very interesting to hear. So I guess my question is, is that kind of rate of addition of those customers a little bit more than you expected? And are you seeing these kind of non-sweet spot customers kind of come in earlier than you expected as well?
Tom Leighton: We're very encouraged with the adoption of our compute services, substantial increase in number of customers. And even though we planned and focused early on on the big media accounts that are already Akamai customers for using our platform, we're really seeing it across the base and a lot of new customers signing up, starting with compute that didn't use our pre-existing services. So we're very pleased to see the growth in compute. And of course, you've seen all year long as we've raised our targets for the year in terms of the enterprise compute revenue and the compute business as a whole.
Operator: And this does conclude our question-and-answer session for today. I would now like to turn the conference back over to Mr. Mark Stoutenberg for any closing remarks.
Mark Stoutenberg: Thank you, everyone. In closing, we will be attending several investor conferences throughout the rest of the quarter. We look forward to seeing you there. Again, thanks for joining us tonight. We hope you have a nice evening. Operator, you may now end the call.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.